Operator: Good day, everyone and welcome to the QuinStreet Fourth Quarter of Fiscal Year 2017 Financial Results Conference Call. Please note that today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Erica Abrams. Please go ahead, ma’am.
Erica Abrams: Thank you. Good morning, ladies and gentlemen. Thank you for joining us today to report QuinStreet’s fourth quarter of fiscal year 2017 financial results. Joining me on the call today are Doug Valenti, CEO and Greg Wong, CFO of QuinStreet. This call is being simultaneously webcast on the Investor Relations section of our website at www.quinstreet.com. Before we get started, I would like to remind you that the following discussion contains forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those projected by such statements and are not guarantees of future performance. Factors that may cause the results to differ from our forward-looking statements are discussed in our recent SEC filings, including our most recent 10-Q filings on May 9, 2017. Forward-looking statements are based on assumptions as of today and the company undertakes no obligation to update these statements. Today, we will be discussing both GAAP and non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures are included in today’s earnings press release, which is available on our Investor Relations website. Now, I will turn the call over to Doug, CEO of QuinStreet. Please go ahead.
Doug Valenti: Thank you, Erica and thank you all for joining us today. The fiscal fourth quarter came in as expected and guided. We delivered year-over-year and sequential revenue growth, increased adjusted EBITDA and generated strong cash flow. The results overcame typical seasonal trends, which usually include revenue decline from Q3 to Q4. We expect the strong momentum in the business to continue and to accelerate in the current quarter and new fiscal year. Revenue in Q4 was our highest in 5 years. Adjusted EBITDA was the highest in 3 years. We expect the upward trend in our financial results to continue in the new fiscal year, where we expect to deliver double-digit year-over-year revenue growth and higher EBITDA margin. Improved results are being driven by positive momentum from the products and media strategies and margin improvement efforts over the past couple of years and by our Financial Services and Home Services client verticals, which now account for over 70% of company revenue. That portion of our business continues to deliver double-digit revenue growth and expanding profitability. For fiscal 2018, we expect full year revenue growth of at least 10% and adjusted EBITDA margin of about 8%, up from 4% in fiscal 2017. We announced today that the Board of Directors has approved a reauthorization of the company’s stock repurchase program for the upcoming year, which will again be targeted to offset dilution from equity compensation. Our balance sheet is strong. We have $50 million of cash and no debt. With that, I will turn the call over to Greg.
Greg Wong: Thanks, Doug. Hello and thanks to everyone for joining us today. We are pleased with our solid performance in the fourth quarter reporting results that were in line with the outlook we provided last quarter and that are continuing to demonstrate the positive momentum from the product and media initiatives developed over the past few years. We delivered our highest revenue quarter in 5 years. And for the second straight quarter, we have grown adjusted EBITDA and generated strong cash flow from the business. For the fourth quarter, total revenue was $81.5 million, adjusted net income was $3 million or $0.06 per share and adjusted EBITDA was $6.1 million or 7.5% of revenue. Moving to revenue by client vertical, our Financial Services client vertical represented 63% of Q4 revenue and grew 15% year-over-year to $51.8 million. We had a particularly strong quarter in auto insurance, where we saw our business strengthened throughout the quarter delivering double-digit revenue growth both year-over-year and sequentially. We expect momentum to strengthen further in that business in fiscal 2018. Combined, the businesses in the Financial Services client vertical other than the auto insurance grew 22% year-over-year in the quarter demonstrating the broader effectiveness of our new product and media strategies. Our Education client vertical represented 23% of Q4 revenue and declined 4% year-over-year to $18.9 million. Trends in Education are improving as evidenced by a more moderated year-over-year decline in revenue for the third consecutive quarter. Our expanded product strategy, client diversification efforts and focus on client performance are driving improved results across what is still an evolving in U.S. education. Strong growth in Brazil is also contributing to more positive trends. Our other client verticals represented the remaining 14% of Q4 revenue and declined 24% year-over-year to $10.8 million. Our Home Services business again delivered year-over-year revenue growth, which is offset by headwinds in our B2B technology business, where we are in the midst of a new product cycle. Moving on to adjusted EBITDA we continue to be focused on expanding profitability. For the quarter, we reported $6.1 million of adjusted EBITDA or 7.5% of revenue, up from $5.2 million or 6.6% of revenue in the prior quarter. Moving to the balance sheet, our balance sheet remains strong. We grew our cash balance by $7.8 million in the quarter. We began the quarter with $41.7 million in cash, generated $10.3 million in operating cash flow, used $2.4 million in investing and financing activities, and closed the quarter with $49.6 million in cash and equivalents and no debt. Normalized free cash flow was $5.4 million in the quarter or 7% of revenue. Most of our adjusted EBITDA drops to normalize free cash flow due to the low capital requirements of our business model. In summary, we executed well against our priorities in the quarter, delivering our highest revenue quarter in 5 years, growing adjusted EBITDA to the highest level in 3 years, generating strong cash flow and maintaining a strong balance sheet. With that, I will turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] And we will go first to John Campbell from Stephens Inc. Please go ahead, sir.
Hayden Blair: Hi, guys. It’s Hayden Blair on for John.
Doug Valenti: Hey, Hayden.
Greg Wong: Hey, Hayden.
Hayden Blair: Hey. So, it looks like most of the beat this quarter at least for SAR model was driven by gross margin. Can you talk us through kind of what drove that? Did you expect that to continue at those levels? And then can you give us a little refresher about structurally how you expect gross margins to trend as you scale the business?
Doug Valenti: Yes. I would say that we are continuing to focus on margin at the media margin level, Hayden, which is what is the biggest driver of gross margin. And we have a lot of initiatives in place to continue to improve that as we come out of the period where we are investing heavily in media strategies that depressed gross margin in order to get some of the new strategies in place, but we are now very focused on continuing that growth, but also on initiatives to continue to get a better media margin, which again is again the highest cost component of cost of services. The other effect of course was the risk that we did back in the last – the last part of the calendar year and the reduction in expenses on the personnel level, which are components also of gross margin. You will continue to see that impact as we scale revenue and we will get greater leverage out of the top line, because we will be dropping that through a lower cost structure on the fixed cost side. So, those are really the main two factors.
Hayden Blair: Got it. And then any other color you can give us about your guidance assumptions either on kind of revenue growth by segment or any kind of seasonality impacts just given the revenue mix shift you guys have had here over the past couple of years?
Doug Valenti: Yes. I think you are going to continue to see Financial Services and Home Services being our primary revenue drivers. Those businesses have been growing now for several years at strong double-digit rates and our outlook is for that to actually accelerate this year and not just continue, but to accelerate this year. So, I think from a mix standpoint, you will continue to see a higher proportion of our revenue from those client verticals, which I think is very healthy for the business. In terms of the pattern for the year, you should expect to see pretty typical quarterly seasonality though it will probably be more like ‘17 – fiscal ‘17 than historic. In that, recall this year, we had growth going from fiscal Q3 to Q4 and historic seasonality would imply that, that would be a downtrend. This coming year, we expect revenue to build throughout the year. So while we expect relatively typical seasonal patterns, we do expect at Q3 to Q4 – for Q3 to Q4 to grow again and again for the year to look more similar to fiscal ‘17 than maybe more historic patterns. Then again as I said, the revenue momentum is going to likely build through the year. EBITDA margin through the quarters is likely to be pretty proportionate to revenue with that average at about 8% as we indicated in the guide. And just one reminder, our fiscal Q2, the December quarter is always pretty soft from a seasonal standpoint.
Hayden Blair: Got it. That’s really helpful, color. One last one from me. Can you just remind us about the share repurchase authorization what kind of level that is and if you guys expect to be a little bit more opportunistic with that or if that’s just going to kind of be a steady offset of the share-based compensation?
Doug Valenti: It will be pretty steady. We will split it out through the year. We will seek to fully offset actual dilution that we have seen over the past year and – but we will also seek to do it in a way that’s not disruptive or doesn’t drive stock price. So, that’s why we will spread it out and of course it will be driven through 10b5-1 plan that’s got levels based on volume levels subject to normal volume constraints but driven largely by price.
Hayden Blair: Great. Thanks, guys.
Operator: And we will go next to Stephen Ju from Credit Suisse. Please go ahead sir.
Stephen Ju: I think you touched on this in answer to the last question, but looking at your guidance parameters for fiscal ‘18 it looks like the incremental EBITDA margins at around 37% for doing that math correctly, which is highest step up in almost a decade. So, can you talk about how maybe the changing vertical exposure, so I guess the greater contribution from Financial Services and insurance and last from education may be affecting your margins or is this just purely I should call out just optimization of your media cost? Thanks.
Doug Valenti: Yes, hey, Stephen. Again, it’s a couple of things. It certainly is the lower fixed cost base is having a pretty good effect, but it’s also the fact that if you look at our Financial Services client vertical, particularly insurance where we invested as you recall pretty heavily for a couple of years to get that business back on a good ramp that media margin and that’s our largest business now of course it’s 60% something of total Financial Services, which is 60% something of total company revenue. That media margin in insurance is up multiples of where it was just a couple of years ago. So, I think a big part of what you are seeing is a continued expansion of media margin to healthier levels, particularly in insurance, which is now our largest business on again a reduced fixed cost base both in the broader company. But another point I think that you maybe picking up on the night, I should mention is our insurance business is also our most efficient business in the company now our Financial Services more broadly I would say. In that, we require a lot less expenses below the media margin line to run the business on the new product model. So, there is well, in insurance we have both been growing revenue at an average of 15% to 25% per year for the last several years, while doubling and tripling our media margins in that business to healthier levels. We have also had been able to take the headcount expenses, because of the new products in that business down by I think half. So, the new product profile which is much more technology driven even than in the past gives us a lot of efficiencies in the business and we are also recovering media margins where we had invested to turn that business, which we are able to now to come back from and on a lower fixed cost base, we are seeing the effects of all of those factors.
Stephen Ju: Thank you.
Doug Valenti: You bet.
Operator: [Operator Instructions] Ladies and gentlemen, that does conclude our question-and-answer session and that will conclude our QuinStreet fourth quarter and fiscal year 2017 financial results conference call. If you would like to listen to a replay of today’s conference, please dial 1888-203-1112 and enter access code 2038071. Again that number is 1888-203-1112 and enter access code 2038071. Thank you all for your participation. You may now disconnect.